Operator: Good day, and welcome to the Independence Contract Drilling, Inc. First Quarter 2024 Financial Results and Conference Call. [Operator Instructions] Please note, this event is being recorded.
 I would now like to turn the conference over to Philip Choyce, Executive Vice President, and CFO. Please go ahead. 
Philip Choyce: Good morning, everyone, and thank you for joining us today to discuss ICD's first quarter 2024 results. With me today is Anthony Gallegos, our President, and Chief Executive Officer.
 Before we begin, I would like to remind all participants that our comments today will include forward-looking statements, which are subject to certain risks and uncertainties. A number of factors and uncertainties could cause actual results in future periods to differ materially from what we talk about today. For a complete discussion of these risks, we encourage you to read the company's earnings release and our documents on file with the SEC.
 In addition, we refer to non-GAAP measures during the call. Please refer to the earnings release and our public filings for a full reconciliation of net loss to adjusted net loss, EBITDA, and adjusted EBITDA and for definitions of our non-GAAP measures.
 With that, I'll turn it over to Anthony for opening remarks. 
J. Gallegos: Thank you, Philip. Hello, everyone. I want to say thank you for joining us for our first quarter 2024 earnings conference call. During my prepared remarks, I'll talk about the positioning and progress we made during the first quarter. Our outlook for the rest of this year and offer some perspective on the current super-spec rig market.
 But first, just a few comments, looking back on the first quarter. Our financial results for the quarter were better than our prior guidance, driven by slightly better utilization and strong cost control during the quarter. ICD's utilization outperformance and a flat to declining overall rig count environment was possible given our brand and reputation in the marketplace and helped by the relocation of a working rig from the Haynesville to our Permian market where the rig went straight to work for a new customer.
 Cost efficiencies were driven by the hard work of our rig and support staff and the cost reduction initiatives we implemented early in the quarter. We also completed 1 additional 200 to 300 series conversion early in the quarter, which is our fifth such conversion. Today, only one of our operating rigs is a 200 series rig, and it is scheduled for conversion later this year with actual timing being dictated by customer preference.
 Now I'd like to talk about what we're seeing and how we're responding to the market for super-spec rigs in our target markets. In summary, our Permian market continues to hold up pretty well and the Haynesville market remains challenged in the short and medium term. We started 2024 with 3 rigs working in the Haynesville, and in January, we relocated one of those 3 rigs to West Texas. 
 In the process of relocating that rig, we cannibalized an opportunity we previously had earmarked for an incremental ICD rig add. As a result, today, we are working 2 rigs in the Haynesville, and we expect to run 2 rigs in that market for the foreseeable future.
 We want to maintain a presence in the Haynesville and like exposing an appropriate portion of our fleet to nat gas activity. And we appreciate and want to maintain the brand and reputation we've earned over the last decade in the Haynesville. We are optimistic about our longer-term activity rebound in the basin, but we don't expect to see that until the second half of 2025 at the earliest.
 On the other hand, our West Texas market has been the growth vehicle for ICD over the last year as we've been successful in adding rigs across our customer base and increasing term contract exposure where it makes sense. This is in spite of a steady decline in overall rig count in that basin over the last 12 months. Our reputation for service and professionalism as well as our 200 to 300 series conversion program or catalyst for this market outperformance.
 During the first quarter, we moved the last idle 300 series rig from the Haynesville to the Permian market, and I expect that rig will go to work for one of the most active public E&P operators in West Texas late in the second quarter. The contract is not yet signed, but I feel very good about our chances with this former customer.
 Standing here today, all indications are for a flattish overall rig count in the Permian during the first half of this year in the low 300-ish rig range primarily due to capital discipline and consolidation amongst E&P companies and flattish WTI prices. And my expectation is for our average rig count to be flattish during the second quarter with a bias upwards in the second half of 2024.
 We also expect elevated churn and rig movement within the Permian market to continue, driven by the rebalancing of fleets following the expected closings of announced E&P consolidation transactions. Thus, incremental rig add opportunities for ICD in the Permian during the second quarter will come primarily from high-grade opportunities where we displaced lower spec and underperforming competitor rigs. These opportunities are very competitive. But so far, we've been successful in winning more than our fair share.
 We do expect to see overall Permian rig count tick up in the back half of this year, driven by incremental activity on the part of private E&Ps, where ICD has a very strong presence. Right now, we are actively marketing 16 rigs in the Permian Basin, but because of rig churn, we do not expect all of those rigs to be working throughout the quarter.
 Overall, I would expect us to operate 13 to 14 average net rigs in the Permian over the next quarter and 2 rigs in the Haynesville with a bias towards 17 average net rigs during the back half of the year based upon our expectations for an increase in private operator rig count that we believe will alleviate the current rig churn that ICD is experiencing.
 Dayrates have generally moved sideways year-to-date in light of flattish overall rig count in the Lower 48. We expect this dayrate trend to continue the next couple of quarters. Dayrate revenues and dayrate margins for super-spec rigs are healthy but obviously lower than they were a year ago. Dayrate revenues in the Permian for our 300 series rigs have remained stable around the $30,000 range and for our remaining 200 series rig, the high 20s. Our dayrate revenues for our 2 rigs in the Haynesville are lower than these levels.
 So as I wind down my prepared remarks, I'd like to reiterate that our strategic operating priority today is maintaining current levels of utilization here in the second quarter and growing our reported average rig count by end of the year. We have a lot of wood to chop as most of our contracts are short term in nature, but most of our customers have rig lines that stretch through most, if not all, of this year.
 I believe we have appropriately positioned our rig fleet through the 2 additional Haynesville to Permian relocations early in the first quarter. As we expect the effects of lower nat gas prices and customer consolidation, and capital allocation priorities will continue to put a drag on the Haynesville market the rest of this year.
 I expect we will continue to see opportunities to solidify our Permian Basin presence as this year plays out. As the benefits of our 300 series rigs, combined with our operational and HS&E performance and ICD impact offerings continue to bring new customers into the fold and allow us to expand existing customer relationships.
 In the face of a likely flat overall Permian rig count through the summer this year, it is imperative that we continue to punch above our weight class to drive incremental ICD rig utilization. But I believe we've shown that we're more than able to do that.
 I'll make some additional concluding remarks before opening the call up for questions. But right now, I want to turn the call over to Philip to discuss our financial results and financial outlook in a little more detail. 
Philip Choyce: Thanks, Anthony. During the quarter, we reported an adjusted net loss of $7.2 million or $0.50 per share and adjusted EBITDA of $11.8 million. We operated 15.1 average rigs during the quarter, in line with our prior conference call guidance.
 Margin per day during the quarter came in at $11,829 per day, exceeding guidance by -- due to very strong cost control. Early termination of revenues during the quarter were de minimis.
 SG&A costs were $4.3 million which included approximately $216,000 of stock-based and deferred compensation expenses. Cash SG&A expense of $4 million during the quarter was in line with guidance and included approximately $300,000 in onetime charges associated with the cost initiatives implemented during the quarter. Stock-based compensation expense was lower than guidance, driven by variable accounting tied to changes in our stock price.
 Interest expense during the quarter aggregated $9.9 million. This included $2.7 million associated with noncash amortization and deferred issuance cost and debt discount which we excluded when presenting adjusted net income. Tax benefit for the quarter was $231,000.
 During the quarter, cash payments for capital expenditures, net of disposals, were approximately $8.2 million and included $8.1 million of payments related to prior period items, and there was approximately $4 million of CapEx accrued in accounts payable at quarter end.
 Moving on to our balance sheet. We repaid $3.5 million of convertible notes at quarter end. And at quarter end, we also paid in kind $13.3 million of accrued interest due on the convertible nets. Borrowings under our revolving credit facility were $8.3 million at quarter end, a slight increase compared to prior year-end associated with working capital investments.
 Overall, net working capital investments during the quarter increased by $6.3 million associated with normal seasonal ad valorem taxes and annual incentive compensation payments.
 Our financial liquidity at quarter end was $20.4 million, comprised of cash on hand of $6.9 million and $13.5 million of availability under our revolving credit facility.
 Now moving on to guidance for the second quarter of 2024. Right now, we have 17 to 18 rigs actively in play for ICD from a marketing perspective. But a handful of these rigs' utilization is affected by elevated churn and basin relocations between the Haynesville and Permian markets. Our 2 rigs operating in the Haynesville also have the additional headwinds of a very challenged market.
 Anthony already outlined our expectation for a relatively flat reported average rig count for the second quarter as well as our expectation for some improvement during the back half of the year as we address some of the near-term utilization headwinds.
 Overall, during the second quarter, we expect operating days to approximate 1,350 days, relatively flat on an average rig basis with the first quarter. We expect margin per day to come in between $9,750 and $10,250 per day with a sequential decline relating to lower dayrates on contract renewals as all legacy contracts have now expired. And some small increases in cost per day compared to the first quarter.
 As Anthony mentioned, our 2 Haynesville rigs are operating at lower dayrates compared to the broader U.S. land market. Breaking out the components. We expect revenue per day to range between $29,000 and $29,500 per day and cost per day to range between $18,900 and $19,400 per day.
 Unabsorbed overhead expenses will be about $1 million. We have excluded these expenses from our cost per day guidance. The increase in these costs is associated with the consolidation of our Houston operating yard into our West Texas operations, which will occur during the second and third quarter of 2024, and the result in annual operating cost savings thereafter $1 million or more once completed.
 We expect second quarter cash SG&A expense to be approximately $3.7 million and noncash stock-based compensation expense to be approximately $1 million assuming no material changes to our stock price that would impact variable awards.
 Interest expense to be approximately $10.4 million of this amount, approximately $2.9 million were related to noncash amortization of deferred financing costs and debt discounts.
 Depreciation expense for the second quarter is expected to be flat with the first quarter. We expect the tax benefit for the second quarter to be in line with the first quarter as well.
 Before I turn the call back over to Anthony, I did want to discuss capital and balance sheet priorities as we navigate the remainder of this year and move into next year. We have made the election to pick our next interest payment due under our convertible notes on September 30 for this year and will likely pick subsequent interest payments as well. Our anticipation is that our lenders will continue to accept mandatory offers to repurchase notes at par, which will somewhat offset increases in the overall convertible note balance.
 Our expectations for relatively flat market conditions is obviously one driver for our decision to continue to pick interests but there are several other key considerations. Most important, the PIK interest rate under our notes is lower than our cash rate by 300 basis points. So from a cash-on-cash perspective through maturity, we believe this decision is best for managing our overall net debt.
 Another important consideration is to manage overall liquidity while budgeting to pay down our revolver balance prior to its maturity in September of 2025. Our expectation is we'll be challenging to extend or replace the revolver facility until our convertible notes are refinanced or the maturity is extended. In that regard, as we previously announced, our Board of Directors has initiated a formal review process to begin evaluating alternatives with respect to refinancing our convertible notes and other strategic opportunities. And form a committee of independent directors for that purpose.
 Obviously, there can be no assurance at this time that this process or evaluation will result in any one or more transactions or any particular transaction or strategic outcome or the timing of any such outcome.
 And with that, I'll turn the call back over to Anthony. 
J. Gallegos: Thanks, Philip. So rolling all this up, I'm pleased with our efforts year-to-date to position the company to maximize the opportunities that are available to us here in 2024. We continue to grow our Permian Basin presence, which is the most important land rig market in the Lower 48.
 In the process, we continue to make progress on the 3 most important overall strategic initiatives we have, which include paying down debt, increasing our exposure to the 300 series market and leveraging our operational and HS&E performance along with our ICD impact offerings to win incremental contracts and eventually better margin per day.
 So with that, we will take your questions. Operator, please open up the line for Q&A. 
Operator: [Operator Instructions] The first question comes from Alex Hantman with Sidoti & Co. 
Alex Hantman: This is Alex on for Steve Ferazani. A few questions on my end. First, on dayrates. I know some of the guidance is decreasing the margin there. Can you talk about any stabilization in pricing that you're feeling. And if you're getting a premium for the super-spec rigs. And is that a function of competitors being less disciplined in pricing? Or just sort of a function of the weaker market, too much supply, that kind of stuff? 
J. Gallegos: Alex, I appreciate the question. I think that rates have played out this year pretty much the way that we expected. Things have kind of moved sideways, especially on the higher end, 300 series spec rigs. Where you've seen a decrease in the average dayrate revenues for us has really been around the contract renewals. For example, we had a rig that rolled off a 1-year contract that was put in place quite a while ago. Obviously, it's repricing, and the rate is lower today than it was a year ago. And I think that's what you're seeing.
 In terms of our guidance, we expect things to move sideways for the next quarter or 2 here. That's what we're seeing. That's a function of just the churn that we're experiencing in the market, especially out in the Permian. The overall rig count out there is more or less flat, and it's been flat for the last few months, but there is a lot of churn below the surface. And that's what's creating the headwind on dayrate revenues. But still on a historical basis, they're okay. Obviously, they're lower than they were a year ago, but pleased with what the company has been able to do and generate in the first quarter in light of the current market. 
Alex Hantman: Thank you for the context. Very helpful. And the second question on SG&A. So it was much lower which is great. Is that sustainable? And could you talk a little bit more about how you're able to achieve some of that? 
Philip Choyce: Yes. So the SG&A actually was a little elevated in the fourth -- in the first quarter compared to our guidance in the first quarter. Some of that's seasonal. We also had some onetime costs, some reorg costs that we incurred in the first quarter. We're tracking along on a cash SG&A basis, maybe $15 million a year-ish on an annualized basis. The stock-based comp, that was lower for the quarter. A lot of that had to do with variable accounting on our awards with the change in stock price. So I don't expect it to be that low this next quarter, but it all depends on whether -- what happens to our stock price over the next 3 months. 
Alex Hantman: Thanks for clarifying. I appreciate that. And last question, just leave me out, curious to get your view on 2025. 
J. Gallegos: In terms of the rig market. Look, we're -- it's optimistic. It's -- if you think about where oil prices are today, you think there'd be a little bit more excitement out there, but our customers continue to demonstrate tremendous discipline. Sticking to their guns in terms of what their priorities are, what they've communicated to their investors. A lot of quarters between now and then, and we'll just have to see. 
Operator: The next question comes from Don Crist with Johnson Rice. 
Donald Crist: I wanted to ask about the costs. Costs have been rising for quite a while, but it looks like you were able to take a big -- a decent chunk out in the first quarter. Are there any specific drivers behind that? And it sounds like they may go up just a touch here in the second quarter. But what actually happened on the cost side in the first quarter that had them pull back some? 
J. Gallegos: Yes. Well, first on, in January, we did institute some measures to kind of rightsize the organization for what was obvious at that point would be a lower level of activity in 2024 compared to what we thought as we begin to put our budget together in the third and fourth quarter of last year. So you see that primarily in some in SG&A, but op support, field support type of cost.
 Some of it also was timing. Our smaller size drill line purchases and when they flow through and how many flow through can have an impact. I think we have made progress. Some of the cost reductions are sustainable. But I would point out that as we enter the summer months, we typically see costs move up. It's a couple of hundred bucks a day. And that's going to be just driven by heat. More of our fleet today as a percentage is working in West Texas, Permian Basin. I don't have to tell you how hot it gets out there, the impact that has.
 Some of it's obvious, around radiators and AC units and stuff like that, but there's some other stuff that's not so obvious such as just believe it or not, water, Gatorade, and that kind of stuff. So yes, I do think that some of it is sustainable. We'll probably give some of it back in Q2 just because of the reasons that I pointed out. But again, really pleased with the way the company has performed, especially on the cost line year-to-date. 
Donald Crist: Appreciate that color. And obviously, you've done a very, very good job over the past 9 months or so moving stuff from the Haynesville to the Permian and displacing and high grading some of your customers' rigs out there. But can you just touch on who you're buttoned-up against is -- or are we pretty much to the point where all of the high-spec rigs are working, and the lower spec rigs have been displaced? Or is there still some of that to go more or less surrounding that comment that you had maybe putting another rig back to work in the back half of the year? 
J. Gallegos: Yes, I do think there's more to come, Don. Just on the decision to move rigs in the first quarter, no doubt that was the right move. If you think about markets around the country, Haynesville has been hit the hardest, and that's following what was a really tough 2023, as you know. Thought we had a better chance of putting those 2 rigs to work in the Permian. One went straight to work. Unfortunately, we cannibalize an opportunity, as we mentioned. But the other one, I'm really excited about the contract that we're working on for the second rig. I expect that rig would go back up late Q2, early Q3.
 And I do think there are some lower spec rigs that are still under contract today. That's going to provide some opportunities in the near term for our fleet. And then as we look out over the balance of this year, I do think that rig count in the Permian will begin to tick up during Q3 and Q4, and that's going to be primarily driven by private E&P activity. Those are guys that we've had long-standing relationships with. So look, nothing is a layup in this business anymore, but feel pretty optimistic about running flat here in Q2. And then the bias is if 1 rig is at 2, we'll see in the back part of this year. 
Operator: The next question comes from David Storms with Stonegate Capital. 
David Joseph Storms: Just hoping we could touch back on the rig that you relocated to the Permian. Could you just maybe give us a little more color around what the thought process was as to -- you mentioned the cannibalization. And was that customer-driven, then the 300 series rig? Was that just a timing and cost consideration? Maybe any more color you could give us there would be helpful. 
J. Gallegos: Yes. I think it's really just being sober and looking at the Haynesville over the balance of this year, David. And in fact, I think with one of our -- we only have 2 rigs working in the Haynesville today, one just rolled from one customer to the next. And I think we've just won the only incremental opportunity that's out there over the next quarter or 2. That market it's a bit down over 20% year-to-date. I think there's still some downdraft to come.
 And I was very confident that that quality of rig that we moved, the second one is such that given our -- what we're seeing in the market, the discussions we're having with customers, I was pretty confident that we'd be able to put it to work in the Permian Basin. 
 So really, the decision was, do I leave it -- do we leave it in the Haynesville and the odds of it going to work over the next 12 months, relatively low, or put a few chips on the table, spend some money to relocate the rig. And we felt like we would have a pretty good opportunity to put it to work in the Permian, and I think that's what's going to happen. 
David Joseph Storms: Understood. Very helpful. And then just one more for me. Can you just talk a little bit more about the customer acquisition process when you're competing to replace some of these lower spec rigs. Is that just also a timing thing where you're waiting for their contracts to be up? Or are there other considerations to think about? 
J. Gallegos: Yes, that's part of it. There's friction when a customer releases one rig and brings another one in. He has to demo that rig. He's got to move another one in. Sometimes you're starting up a rig. So it might not be quite as efficient in the first few weeks or months as it will be over the course of a couple of months with that customer. So those are things that the client has to weigh. But we've got some pretty exciting things that we've been working on year-to-date around attacking cycle times.
 The pressure that we fill from customers today around efficiencies and reducing days per well days on the pad, it's as intense as I've ever seen it. And the quality of the equipment that we have, the quality of the people that we have to look at wringing out every last bit of efficiencies, it's really gone well for us year-to-date. So we've got data now. We've got things that we can show customers where we can demonstrate to them that, one, changing out the rig, the friction that's going to be caused is worth it, but bigger picture, we're going to help you drill a better wellbore. We're going to help you drill that well and that pad in fewer days. And at the end of the day, reduce your cost per foot.
 I mean that's the value proposition. That's the pitch. And I think the fact that we've increased our rig count in the Permian by 50% over the last 15 months and not having to do that based necessarily on rate is a testament to what's going on here at ICD today. 
Operator: The next question comes from Don Crist with Johnson Rice with a follow-up. 
Donald Crist: Anthony, I just wanted to ask about your most recent comment. Obviously, one of your competitors has kind of moved towards performance-based contracts and is forming, for lack of a better term, more partnerships with the operators today. It sounds like you are doing some of that. But has the contracts really reflected that? Or you can get any kind of uplift from making more consistent hole or saving days, et cetera. I mean any comments around in that. 
J. Gallegos: Yes. I think it is showing, Don. Sometimes it shows in utilization, right, where you might win an opportunity that you otherwise might not have won, or you may be able to displace someone else's rig all things being equal because you can perform better. 
 I do think you are seeing that in dayrate revenues, the average dayrate revenues at the company. It's not just that we have to necessarily compete on price.
 Certainly, the market is going to determine a certain baseline in regards to the dayrate, but we have to be able to demonstrate that we can add value and the way that we add value today is, first, working safe, not doing anything that's going to harm the environment, but third, reducing like I said, days on well, days on pad. And I think you see that reflected today in ICD's utilization. And I think going forward, maybe not Q2, but certainly later this year rolling into next year, I think you begin to see that margin per day. 
Donald Crist: Okay. But none of your contracts are structured today, where you have a bonus structure or anything like that where if you meet certain thresholds, you get additional capital, right? 
J. Gallegos: That's correct, Don. We are -- we've had those discussions in the past. We're open to them. And I would expect at some point, we would be able to have that type of structure, we're certainly open to it today. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Anthony Gallegos for any closing remarks. 
J. Gallegos: Thank you very much. So as I close out this call, I do want to say thank you. Thank you to the many employees at ICD for their hard work and dedication. I would also like to thank our customers for their business and would like to say thank you to you for taking the time to listen to our earnings call. With that, we'll sign off from here. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.